Operator: Good morning and welcome to the Arcos Dorados' Fourth Quarter and Full Year 2014 Earnings Call. A slide presentation accompanying today's webcast, which will also be available in the Investor section of the company's website, www.arcosdorados.com/ir. As a reminder all participants will be in listen-only mode. There will be an opportunity for you ask questions at the end of today’s presentation. [Operator Instructions]. Today's conference call is being recorded. At this time I would like to turn the conference over to Daniel Schleiniger, our Director of Investor Relations. Please go ahead sir.
Daniel Schleiniger : Thank you. Good morning, everyone and thank you for joining us today. With me on today's call are Woods Staton, Chairman and Chief Executive Officer, Sergio Alonso, our Chief Operating Officer and José Carlos Alcantara, our Chief Financial Officer. Before we proceed I would to like to take -- make the following Safe Harbor statement. Today’s call will contain forward looking statements and I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new, or changed events or circumstances. In addition to reporting financial results in accordance with generally accepted accounting principles we report certain non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial results, as compared with GAAP results, which can be found in the press release filed with the SEC on Form 6-K. I would now like to turn the call over to our Chairman, Woods Staton. Woods?
Woods Staton: Thank you, Dan. Hello everyone and thank you for joining us today. Before I comment on our fourth quarter and full year 2014 performance I would like to introduce you to our new Chief Financial Officer, José Carlos Alcantara, who joined us in January of this year. José Carlos brings Arcos Dorados substantial experience as a finance executive in both Latin America and the consumer products industry. I am confident that his leadership, broad skillset and regional experience will be a tremendous asset to our company. I would also like to take a moment to thank his predecessor and my longtime colleague and friend, Germán Lemonnier. Germán's contributions to our company over his 21 year tenure are too many to list. Suffice it to say that he was instrumental in helping us grow into the largest restaurant chain in Latin America and the largest McDonald’s franchisee in the world. I wish him the best in all of his future endeavors. Turning to our fourth quarter results we reached double-digit revenue in comparable sales growth, as we stepped up our promotional campaigns and benefited from a seasonal pick-up in consumer activity. Organic revenues grew 16.4% in the quarter backed by a 15.4% increase in comparable sales. While we achieved further efficiencies in G&A and other cost items our EBITDA margin reflected more active marketing activities to drive profit. Despite the year-end pick-up 2014 was a difficult year overall and our performance fell short of our expectations. Organic revenues increased 12.7% and comparable sales grew 10%. While we anticipated economic and other obstacles heading into the year the deceleration of economic and consumption growth and the depreciation of some of the main currencies in our region were greater than anyone expected. As an example, two exchange rate changes during the year in Venezuela generated a negative impact of $40 million in adjusted EBITDA and almost $144 million in net income alone. The softer than expected economic environment drove the shortfall in performance versus our plan for the year. In addition, we underestimated the effect of the FIFA World Cup on traffic across our businesses during the tournament, which had an important impact on our second and third quarter results last year. In 2014, we opened 82 restaurants with freestanding restaurants accounting for 60% of the total openings. The year-end 2014 overall restaurant count was 2,121 restaurants. During the last call we mentioned that we will provide you with a long-term strategic outlook for our business during the early part of this year. Our focus has been on developing a three year roadmap for a leaner and more efficient organization that is not only the best restaurant chain operator in Latin America but also generates shareholder value through enhance profitability and cash flow generation as well as a disciplined approach to capital allocation. As you can imagine this has been a complex task, particularly given the uncertainty of the shorter term political, economic and currency outlooks in our region. While we will continue to implement strategies to drive top line growth with an optimal product mix, I would like to share with you additional measures that we will focus on to improve our company’s performance and financial position to significantly increase shareholder value over the medium-term. Within the current context, these are the areas where we will have a high degree of control. Keeping in mind of course that the economic strife in our regions will have an important impact on the ultimate long-term results of our company. The key element to our plan includes; number one, utilizing technology to help us become more efficient and enhance our customer experience. We are committed to increasing store margins by a minimum 200 basis points over the next three years. The majority of this improvement will come from more efficient labor scheduling, improvements in inventory management and reductions in non-product purchases for example. However, under no circumstances will these initiatives negatively impact our service levels as measured by customer satisfaction opportunities numbers or CSO. Our CSO, as you know, is amongst the highest in McDonald system and it will continue to be so. Two, a commitment to reduce our G&A expenses by a minimum of 10% on an absolute U.S. dollar basis over the next three years. While we are pleased with the progress we’ve made in achieving G&A leverage we believe that there is more that can be done. Three, we will seek to monetize real-estate assets in our portfolio that are either non-core, office buildings and other facilities or operating assets where the value far exceeds the operating potential of the assets. We have many long standing assets across our region that appreciated with significant development around those properties. We have conservatively estimated that we will raise at least $200 million through these initiatives over the next three years without materially impacting EBITDA. These proceeds can be used to reduce debt or for any other purpose that enhances shareholder value Fourth, the ability to refranchise existing restaurants in many of our markets. Today 24% of our restaurants are operated by our sub-franchisees. The master franchise agreement establishes that this can be as high as 50%. While we do not foresee reaching a 50-50 mix we do believe that there is an opportunity to shift this mix to enhance cash flow availability on the company's consolidated margin. We are committed to raising at least $50 million over the next three years by refranchising some of our existing company operated restaurants. Similar to the cash that we expect to raise from redeveloping some of our locations, cash raised from refranchising can be used for debt reduction. Importantly our focus would be on increasing our return on invested capital. We are being prudent during this difficult period. As you know we are committed to continue growing our regions, however much like our partner, McDonald’s we are strategically slowing our pace of growth until the region’s economies began to turnaround. We will continue to rigorously screen new restaurant opportunities to determine where they will generate the most attractive returns given each market’s potential in the context of its competitive environment and the industry's dynamics. While we implement these strategies we are also be doing all we can to improve our sales and continue to capture market share during the current economic environment. In addition, we are realigning incentives and compensation at all levels to help achieve our company wide goals. We are focused on building a healthy business for the long term and thus today we are presenting a new way of measuring our ability to achieve this goal by providing medium and long term milestones rather than just annual guidance. José Carlos will detail for you in a few minutes what we believe is a better way of measuring our success in achieving our longer term goals. We believe that the steps that we are taking to streamline our business, capture operating efficiencies and extract value from certain of our assets will result in a sustainable improvement in our operating cash flow generation, financial position and will help create shareholder value. With that I'll now turn the call over to Sergio for a more detailed look at our fourth quarter performance.
Sergio Alonso: Thank you Woods and hello everyone. We've been strengthening our value proposition in supporting our customers through this period of weak economic growth by offering more affordable menu options. As we mentioned on our last call this strategy contributed to a stabilization of fourth quarter volume trends versus a challenging trend [ph] in third quarters of 2014. You'll turn to slide three, this was particularly the case in our larger market, Brazil. While still negative as compared to the prior year traffic trends picked up from the second and third quarters, which were impacted by FIFA World Cup. These improvements reflect an expected seasonal pick-up as well as promotional activities, which were focused on value offerings and core products. Organic revenues increased 9.4% versus the prior year period backed by a 5.2% rise in comparable sales. Average check was underpinned by sales of the Happy Meal, Big Mac and GPPP platforms. As reported revenue growth declined 2.2% due to the 12% year-over-year depreciation of the Brazilian real. The net addition of 54 restaurants during the last 12 months period of which over half were free standing units contributed $23.5 million to revenues on a constant currency basis during the quarter. The openings brought the restaurant count in Brazil to a total of 866. Before I move to NOLAD, let me update you on the rollout of the new restaurant management technology in Brazil. We now expect to be fully implemented in our largest cities by the middle of the third quarter of this year and the entire country by the end of the year. Later this year we plan to commence that rollout in Argentina which should take about six months to complete. The system will also serve as a platform to rollout customer facing strategies, inline with McDonald’s global digital initiatives in the future. We are encouraged by the results. Last week Woods, José Carlos and I visited Brazil to follow the implementation first hand. Given that Brazil and Argentina account for half of our company operated restaurants the potential medium term savings to margin are significant. Once the system has been widely implemented in our two largest countries we will roll it out to other countries over the next three to four years as appropriate. Turning to slide four, NOLAD revenue decreased by 4.1% year-over-year but grew 1.3% on an organic basis. System-wide comparable sales declined 2.2% as a reduction in profit more than offset average check growth. Traffic was impacted by a continued weak consumer environment while average check primarily reflected price adjustments. Conditions in Panama and Costa Rica remain challenging and competition intensified. However we are well positioned in these markets because of the scale of our operations and the associated advantages on marketing and food and paper cost. We have already seen pressure on some of our competitors in the formal QSR segment that has contributed to our continued ability to gain share in these markets. The net addition of six restaurants during the last 12 month period contributed $4 million to revenues in constant currency for the division. As we mentioned in the prior quarter we have been testing a new menu in Mexico which enables consumers to personalize their dining experience. During the 90 day pilot phase customer came into our restaurants to try this new concept with our core classic and this led to an increase in average check. By catering to regional preferences for customization we will deliver a more relevant dining experience to our Mexican consumers and we are expanding the concept to other parts of Mexico and also will report on this later. On slide five you can see that SLAD’s organic revenues increased 23% in the quarter. System wide comparable sales grew 23.6%, average check expanded and traffic grew in the division despite a deteriorating macro environment. As reported revenues declined by 6% due to the 40% year-over-year average depreciation of the Argentine peso. The net addition of five restaurants during the last 12 months period contributed $2.3 million to revenues in constant currency in the quarter. Now please turn to slide six, excluding Venezuela revenues in Caribbean division grew 1.6% on an organic basis but declined 4.7% in as reported terms. Comparable sales decreased by 4.8% due to negative traffic and lower average check in Puerto Rico. In the division in 2014 we had a net reduction of six restaurants. The combined contribution to constant currency revenues of the restaurants that were closed and opened over the last 12 months period was $6.2 million in constant currency. Now for the consolidated company organic revenues excluding Venezuela rose 11.1% in the fourth quarter. As reported revenues declined by 3.6% primarily due to the appreciation of the Argentine peso and Brazilian real. Turning to slide seven, during the year we completed 82 new restaurant openings, ending the year with a total of 2,121 restaurants. Just under half of our current portfolio now comprises free standing units. Also during the year we added 266 Dessert Centers and 9 McCafés bringing the total to 2,494 and 343 respectively. I will now hand you over to José Carlos for a discussion on our adjusted EBITDA and key balance sheet metrics.
José Carlos Alcantara: Thank you, Sergio. First of all let me say how excited I am to have joined the Arcos Dorados team. We represent the strongest brand in our industry and continue to have significant long term potential in our region. I look forward to tackling the challenges and capitalizing on the opportunities ahead. Please turn to slide eight. The company's fourth quarter consolidated adjusted EBITDA decreased 20.9% but rose 29.5% on an organic basis versus the prior year period. Excluding Venezuela, as reported adjusted EBITDA was down 9.2% and was down 4.6% in organic terms. As Wood mentioned in his opening remarks the company continues to scrutinize its spending as part of its cost reduction program. In the fourth quarter G&A as a percentage of revenue declined by 44 basis points, bringing the full year reduction to 43 basis points. These savings combined with lower labor costs were not sufficient to fully offset higher food and paper cost and occupancy and other operating expenses. As a result the adjusted EBITDA margin decreased 106 basis points to 10.2% or 10.1% on an ex-Venezuela basis. Turning to company’s divisional results on slide nine. Brazil’s reported adjusted EBITDA contracted 0.8% and was flat on an organic basis. Brazil's adjusted EBITDA margin expanded 24 basis points as efficiencies in payroll cost, occupancy and other operating expenses and G&A more than offset higher food and paper expenses. Fourth quarter labor cost benefitted from efficiencies at the store level and from the recovery of payroll taxes related to previous years, partially offset by the reversal of the PAT provision in the same quarter of last year. NOLAD’s adjusted EBITDA slightly declined on an as reported basis but increased 6.7% in organic terms. The adjusted EBITDA margin increased, driven by lower food and paper and payroll costs partially offset by higher G&A and other operating expenses as a percentage of sales. In SLAD, adjusted EBITDA decreased 15% on an as reported basis but increased 14.3% in organic terms. Adjusted EBITDA margin declined as food and paper costs increased as a percentage of sales due to higher beef and transportation costs. This factor more than offset efficiencies in labor cost, G&A and occupancy and other operating expenses. In the Caribbean division, excluding Venezuela as reported EBITDA decreased 82.5% and was down 67.9% in organic terms. The adjusted EBITDA margin declined as certain expenses more than offset leverage in G&A. Turning to slide 10, fourth quarter non-operating results reflected a $7.5 million non-cash increase in foreign currency exchange losses. FX losses for the quarter were mainly driven by the impact of the depreciation of the Brazilian real, which generated a loss on inter-company balances. This was partially offset by a gain related to the BRL denominated long term debt and movements in other currencies which impacted inter-company balances. Net interest expense declined $11.6 million versus prior the year quarter which included a one-time charge of $10.8 million related to the full redemption of the 2019 notes. The fourth quarter net income decline reflects lower operating results and higher foreign exchange losses, which were partially offset by lower net interest and income tax expenses. Slide 11 contains our debt indicators. As of December 31st our net debt-to-adjusted EBITDA ratio was 2.6 times versus 2.9 times at the end of the third quarter. Seasonally stronger cash flow from operations combined with positive working capital changes contributed to the reduction of our short-term debt and increase in our cash position. While we expect this ratio to move in the short-term, based partially on the inter-year seasonality of our cash flows our plan is to bring the year end ratio back within our target of 2 to 2.5 times within the next 12 to 24 months. As you can see in slide 12 on an organic basis excluding Venezuela, revenues were 9.6% higher year-over-year which is inline with guidance of 9% to 11% growth. Adjusted EBITDA increased 0.6% on an organic basis, excluding Venezuela below our guidance range of 5% to 8% growth. Finally, also excluding Venezuela the adjusted EBITDA margin contracted based on higher food and paper and occupancy and other operating expenses, which offset leverage and labor cost and G&A. Total capital expenditures were $169.8 million versus guidance of $180 million. Please turn to slide 13. As discussed by Woods this is a long-term business and short term visibility has proved challenging. With this dynamic in mind beginning in 2015 we will no longer provide annual guidance for total revenue growth, adjusted EBITDA growth and the consolidated effective tax rate. Instead we will provide you with a base line expectation for medium to long-term revenue growth and adjusted EBITDA margin improvement. In addition, we will now provide a range of guidance for both capital expenditures and new restaurant openings for the current year rather than a single point estimate. We expect the short-term operating environment in our region to remain challenging. However, our medium to long-term outlook includes comparable sales growth that on average, excluding Venezuela will be inline with the weighted inflation rate of our other markets. We also expect to expand our full year adjusted EBITDA margin by at least 200 to 250 basis points over the next three years. Our main areas of focus for margin expansion moving forward will be those that Woods discussed today, namely leverage and labor costs, non-product purchases and G&A. The implementation of the new restaurant management technology will help us capture labor efficiencies and better manage inventory at the store level among other benefits. This is the first step in our plans to invest in technological advancements. It will serve as a platform for future investments in both backend and customer facing technologies that will help us manage our business better and maintain relevance with our customers. We will continue implementing our hedging strategies to introduce a greater degree of predictability in our food and paper costs. For 2015 we are fully hedged for our projected exposure to U.S. dollars in Brazil and we have also hedged a portion of our projected U.S. dollar exposure in some of our smaller markets. Over the next two years we plan to extend our efforts to reduce G&A with the goal of delivering a 10% reduction in absolute US dollar terms. As we are doing at the restaurant level we will be realigning incentives and compensation at the divisional and corporate levels to be more inline with the creation of long-term shareholder value. For full year 2015 we expect capital expenditures to be between $90 million and $120 million and we expect to open between 40 and 45 new restaurants. As it was the case in 2014 we expect free standing restaurants to represent about 60% of our 2015 openings. We also plan for about 80% of our new stores, new restaurants to be open in Brazil this year. Finally, about 55% of our 2015 openings will be composed of sub-franchisee operated restaurants. With improved operating cash flows, reduced capital expenditures versus prior years, no dividend declared for 2015 and the monetization of some of our real-estate assets we are taking measures that we expect will generate significant shareholder value over the next several years. I’ll now turn the call back to Woods.
Woods Staton: Thank you, José Carlos. As you heard from Sergio and José Carlos, as well as in my opening remarks, we’ve develop the roadmap with concrete steps and initiatives aimed at generating shareholder value by improving our operational efficiency, extracting value from the assets without a long-term impact on our business and making prudent capital allocation decisions. The short-term outlook for our region and our company is challenging. However we are not standing still. We are confident that the strategic direction we’ve described today will prepare us, not only for the current economic challenges, but will also and more importantly put us in a position to accelerate this momentum when the macroeconomic environment recovers in the future. We have long-term competitive advantages that have helped us overtime and those advantages are even more prevalent today. The McDonald’s brand remains a preferred brand in the minds of casual diners in Brazil and all of our major markets. And even as the branded QSR market goes for a cyclical downturn we are maintaining or gaining share in most of our main markets. As operators of the region’s dominant QSR brand with an unmatched footprint and unparalleled experience operating in volatile markets I remain confident that we will be at forefront of an eventual recovery and growth. Thank you for your attention. As I mentioned earlier José Carlos joined our company two months ago and is in the process of familiarizing himself with the business. For today’s call, Dan Schleiniger will also join the Q&A session to help answer questions related to our financial indicators and outlook. I would now like to open the call up to questions.
Operator: Yes, thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question comes from John Ivankoe with JPMorgan.
John Ivankoe: Hi, thank you. Couple of quick ones if I can. I guess I’ll ask them one at a time. In terms of raising $200 million of proceeds from what, I guess sounds like land sales without affecting EBITDA. I mean, it would seem like -- that would be land, that would be valuable, that would actually be very well performing type of McDonald’s units. But just, do you clarify that these stores are actually EBITDA breakeven at the store level or is it offset by other cost cuts that you’ve talked about also in your presentation?
Woods Staton: Yeah, hi John, this is Woods. Look, this is a subject of ongoing negotiations. So I can share just a few details with you. As you said we expect to generate about $200 million from this initiative. We have some office and non-core real-estate assets that we can sell and consolidate. We also have some restaurants locations with a real-estate value that far exceeds the operating potential of the location. And in those cases we can partner with a local developer to monetize the asset and after a period of construction continue operating our restaurant at that location.
John Ivankoe: Okay, that’s interesting. So you can monetize the assets, you continue to operate the restaurant, but that doesn’t all of a sudden become rent then, in another words. Like you don’t -- I mean what you previously owned, it’s not a sale lease-back transition? I just want to be clear about that.
Woods Staton: That is correct, but that doesn’t mean we might not look at also some sale and lease-backs. But you’re right.
John Ivankoe: Okay. Okay, I think, I understand. And then secondly, as part of the MSA with McDonald’s I think by my math it still suggests that you would have to open over a 100 units maybe even a little bit more than that in 2016 to hit your MSA. Was there any discussion of -- is that still the case or are there any discussions with McDonald’s of reducing your unit opening requirements?
Woods Staton: Yeah, in 2014, we opened up 80 new restaurants of which 60 were free standing. We have several variables that we can look at to reach our commitment with McDonald’s Corporation having to do with timing of the openings, the restaurant formats, the ownership structure of them. We are monitoring market conditions along with McDonald’s and we will agree on an opening plan for 2016 based on the prevailing outlook later this year. The agreement with McDonald’s is responsive to changes in market conditions and both parties are committed to a level of openings that reflect market dynamics. And we are being inline with McDonald’s global strategy and we are reducing our pace of openings for the short-term to reflect political and economic dynamics going on today.
Operator: Thank you. And the next question comes from Martha Shelton with Itau BBA.
Martha Shelton : Thanks for taking the question. I was hoping you could walk through the refranchising of the existing restaurant initiative. I know that 24% of the portfolio is currently franchise operated. So I am just kind of trying to get a sense for the economics of the higher shifts towards more franchise units, I would like to better understand perhaps your return metrics associated with a larger percentage of your portfolio being more franchise operated?
Woods Staton: Hi, Martha, this is Woods. We are looking at selling some franchises, some franchise stores in areas where quite frankly they are far away from the main cities and where we spend considerable G&A. So there is a pickup there. Our current ownership is 74-26. We can go up to 50%. And we plan to continue shifting a higher percentage of our unit growth to our existing or even perhaps new sub franchises, so that we can get these savings in G&A and I think quite frankly in some areas of our countries, where we operate Mr. or Mrs. McDonald’s in that particular community has a better handle on what’s going on then perhaps we can. So it’s a question of getting the geographies that we have and making them as operationally efficient as possible from a margin perspective as well as a G&A perspective.
Martha Shelton: Got it, and so when you are talking about that $50 million you are talking about or you are referring to the proceeds from the sale of these restaurants?
Woods Staton: That is correct.
Martha Shelton: Okay, thank you.
Operator: Thank you. [Operator Instructions]. And the next question comes from Jeronimo De Guzman with Morgan Stanley.
Jeronimo De Guzman : Hi good morning. Maybe I could start with the refranchising question, a follow-up there. Wanted to know the $50 million more or less how many units are we talking about to get a better sense of what are the economics out of those $50 million gains work [ph] and then longer term where do you see yourself as having, like what’s the optimal mix of franchise versus company operated units?
Woods Staton: Hi, Jeronimo how are you? I don’t want to get into where we are going to do it yet but all of our countries are up for this kind of remixing of operations. So I don’t want to get into how much we can get per store, per restaurant or where will be our focus, but I think that if you look at all of our countries there are possibilities everywhere. I don’t think we want to get down to the 50-50, as I said before, but certainly over the next, as we said, for the next two or three years we will do, we will up the pace, as we have last year as well, of new franchise stores, sub-franchise stores.
Jeronimo De Guzman: Okay, thanks. And then on your release you also mentioned this new project that you are working on to redesign the way you manage and operate your business, and I just wanted to know if you could give us a little bit more detail on what exactly is within this project and what kind of benefits you expect to have from it?
Woods Staton: Yeah, let me pass you to Sergio. He can answer that question.
Sergio Alonso: Yes, sure Jeronimo and hi how are you? There is a system we are implementing at the restaurant level that will really help us enhance the efficiency, the way we operate our stores. The system has actually the capacity to forecast sales in a much more accurate manner than obviously the method that we use today. Therefore it will allow us to manage labor/crew scheduling more efficiently. For instance the system calculates how many crew people the restaurant need for different day parts, and also tell us the actual position for each one of the employees considering the number of stations that we have in the kitchen, in the front counter, in the lobby and the drive through et cetera. And we also are going to get additional gains because out of the more accurate sales position we will have, all that we called the supply chain part, which is the all the process that we do at the restaurants to buy products from the distribution center leading us to have a more optimized inventory levels, not only at the restaurant but also at the distribution center, so we may expect to get additional gains in working capital as well.
Sergio Alonso: And let me just add a few things, Jeronimo to what Sergio said is perfect. But I think an important thing for all of you to know is that we've been looking at pilot almost for a year now. There is almost 20 stores and we've been able to reduce labor hours considerably and our CSO scores, the customer satisfaction opportunity that you all are familiar with, those numbers have remained constant. So the challenge has always been to become more efficient, but that it's invisible to the customer. The customer still keeps getting the best and high levels of service that we have and by the way I will just remind you all that we have some of the highest CSO scores in the McDonald’s system worldwide and we're very proud of them and we'll continue to maintain them.
Jeronimo De Guzman: Thanks. So, yes, I mean I can figure that, that can be very positive for the margin on the same store sales front, just one last question. You gave your guidance of expecting same store sales in line with inflation. When I look at, kind of try to estimate it for kind of the current net chart of your business, that would imply same store sales of around 9% to 10%. So that is above kind of what you are trending right now. So I guess the question is what are the main levers you see to accelerate that same store sales momentum, to reach that medium to longer term guidance of same store sales?
Woods Staton: Let me pass this to Sergio.
Sergio Alonso: Well Jeronimo the reality is that as we always said, during these economic difficulties that we're facing in some of our -- parts of our geography, our marketing efforts and initiatives are targeting to retain traffic because that is the way we believe the business will be protected long life. If you look what we have plans for this year in terms of marketing, we have a really, really strong calendar towards the end of the year, particularly in the second half. So the reality is that, as I said before we will continue with promotional gain, we will obviously sustain the launch of new products to create news [ph]. The Happy Meal is performing better, this is a process that already started in 2014. So we remain quite confident on the contribution that we will make our business looking forward to 2015 and we're also enhancing the marketing activities in other day parts like breakfast and [indiscernible] in the bigger markets, that is also helping us to create additional sales volumes on those day parts, apart from lunch and dinner.
Jeronimo De Guzman: Great. Thank you very much.
Operator: Thank you. [Operator Instructions]. And we do have a follow-up question from John Ivankoe with JPMorgan.
John Ivankoe : Hi. Thank you. Just two quick ones. Firstly does the increase in EBITDA guidance over the next three years include the increase in the royalty rate to McDonalds that I think occurs in early 2017? And then secondly in the CapEx guidance in 2015 it seems like almost all that CapEx would be associated with the new restaurants that are being built, especially with a number of free standing restaurants. So if you could talk about being kind of what’s happened to existing unit CapEx or remodel CapEx or corporate CapEx, in another words CapEx outside of new stores, thanks.
Woods Staton: Yes, hi John. As far as our 2017 step up in royalty payments we haven’t discussed those yet with them. Their brand building credit is given to us and it will be reduced in 2017. It's too early to say whether or not this agreement would change. But with that said, we do believe that we have many opportunities to improve our business long-term and we're focusing our efforts, the margin improvement that we are giving through 2017 includes a step up. Okay, just to answer you specifically. And if could repeat the second question I didn't quite get it?
John Ivankoe : Yes, I'm sorry. So of the $90 million to $120 million of CapEx in fiscal '15 is on 40 to 45 new restaurants, which 60% are free standing. So it seems like the vast majority of that CapEx is being associated with those new builds. So I wanted to clarify that and also understand what kind of CapEx is associated, whether on the corporate side or remodels or reimages or other types of technology initiatives that might be necessary in the capital budget?
Daniel Schleiniger : Hi, John this is Dan. I think you need to keep in mind that from a CapEx perspective you can't draw a parallel with last year's unit growth numbers and last year's CapEx level with this year’s because remember about 55% of our opening this year will also be with sub-franchises. And that's higher than our installed base of 24%, that's higher than our opening mix last year, which included about 30% of sub-franchises, okay. So what that should do is we have, actually an additional, let's say, percentage of the total CapEx that we have and that's where we will then be reinvesting in the business and technology to not enhance the base but also go into investments that only enhance the base but also go into the technological investments that would, as [indiscernible] already mentioned in their remarks.
John Ivankoe : And Dan, if I'm still on is it a capital white [ph] franchise or is it the traditional franchise where you are responsible -- where Arcos is responsible for the CapEx and the land and the building?
Daniel Schleiniger : The traditional model is today is where Arcos is responsible for the land and the building but we are looking at alternatives, I think was alluded to it, that among the things that we're looking at in our expansion plans are modified ownership models.
John Ivankoe : Thank you.
Operator: Thank you and we also have a follow-up question from Martha Shelton with Itau BBA.
Martha Shelton : Thanks again for the question. Just thinking about the master franchise agreement, it’s just -- I want to make sure that I'm understanding this properly and in characterizing it. It sounds to me like the MSA with McDonald's, it really sounds like a very cooperative agreement between you and McDonald's Corporation. What I mean by that is it sounds to me, and tell me if I'm interpreting this correctly, gross openings are flexible. I understand that as per MSA 250 unit openings were expected from 2014 to 2016, and it sounds, if I'm reading this right, it sounds like maybe that's subject to negotiation as well as the royalty step up. So I want to make sure that I'm reading that right. And then secondly I wanted to get a sense for franchisees, their appetite and their capacity for new store openings, thanks.
Woods Staton: Yeah, hi Martha. Look, the relationship that we have with McDonald's could not be better. I mean we are great partners. We're very happy and I’m very thankful that we're franchises with this great brand. As you said the 2014 to 2016 opening plan was made in 2013. And the economies were totally different then. Argentina today is in technical default, Brazil is in recession and Venezuela is in an economic crisis and that's a big percentage of our EBITDA in our company. So those territories. So just like it's going on with the corporation all over the world there is a temporary reduction and we're always conversing with the company about this. So that said and I think the second part of your question was the appetite of franchisees; franchisees are in most cases and most countries very, very -- where we have them, they are very interested in growing their business. So as long as they have strong balance sheets, where they can come in to the business without added -- where they have a proven track record, we will grow and we’ll want to grow with them as long as it’s a strategic fit with what we're doing. So and there has been a lot of indication for this.
Martha Shelton : Great, thank you so much.
Operator: Great. Thank you and at this time I would like to turn the conference back over to management for any closing comments.
Woods Staton: Well, thank you all for being with us. I believe it's St. Patrick's Day in the U.S. So happy St. Patrick's Day. Thank you for your questions and your attention and look forward to speaking with you again next quarter. In the interim the team remains available to meet with you and answer any questions that you may have. So hopefully you have a good day and happy St. Patrick’s Day. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.